Operator: Greetings, and welcome to the TDS and U.S. Cellular First Quarter Operating Results Conference Call. [Operator Instructions] As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Ms. Jane McCahon, Senior Vice President, Corporate Relations. Thank you. Please go ahead. 
Jane W. McCahon: Thank you, Donna, and good morning, everyone, and thank you for joining us. I want to make you all aware of the presentation we've prepared to accompany our comments this morning, which you will find on the Investor Relations sections of the TDS and U.S. Cellular websites.
 With me today and offering prepared comments are, from U.S. Cellular, Ken Meyers, President and Chief Executive Officer; Steve Campbell, Executive Vice President and Chief Financial Officer; and from TDS Telecom, Vicki Villacrez, newly promoted, I must say, to Senior Vice President of Finance and Chief Financial Officer. This call is being simultaneously webcast on the TDS and U.S. Cellular Investor Relations websites. Please see the websites for slides referred to on this call, including non-GAAP reconciliations. 
 As a reminder, we provide guidance for both operating cash flow and adjusted EBITDA, to highlight the contributions of our wireless partnerships. For TDS Telecom, these are basically the same number. The information set forth in the presentation and discussed during this call contains statements about expected future events and financial results that are forward-looking and subject to risks and uncertainties. Please review the safe harbor paragraphs in our press releases and the extended version included in our SEC filings. Shortly after we released our earnings and before the call, TDS and U.S. Cellular filed SEC Forms 8-K, including today's press releases and filed our SEC forms 10-Q.
 We also filed an 8-K reflecting the change we discussed on our last call, of reclassifying imputed interest on EIP contracts from below the line in interest and dividend income to above the line in other service revenues. This 8-K voluntarily recasts all of the financial statements and other financial information included in our 2016 10-K. All amounts, changes and percentages that we refer to in this call and in the presentation reflect the recast amounts for prior periods. 
 Taking a quick look at our upcoming IR schedule, on Slide 3, we'll be presenting at the Baird Conference on June 7 and the Citi Conference on June 8, both in New York. Our Annual Meetings are the week of May 22 in Chicago and will be webcast for your convenience. Please let us know if you'd like information about any of these events. And keep in mind that TDS has an open-door policy. So if you are in Chicago or the area, we would like to -- and would like to meet with members of management, the Investor Relations team will try to accommodate you, calendars permitting. 
 And now, I'd like to turn the call over to Ken Meyers. Ken? 
Kenneth Meyers: Good morning, and thank you for your time today. I appreciate this opportunity to talk about the first quarter. In retrospect, it was a very interesting quarter for us, between the ongoing competitive actions in the marketplace, to ramping up of our VoLTE network in Iowa and the winding down of the auction, there was a lot going on. 
 Our market activities started out pretty slow. People have mentioned the delayed tax effect, it may have been part of it. We were also impacted by the early moves around unlimited. As I've said in the past, I'm not a fan of unlimited, not in an industry where additional demand requires more capital. So we did not immediately react to the early unlimited plans and that impacted traffic and gross adds. However, we have also said that we're price takers, given our position in the industry. So when Verizon moved to offer unlimited plans, we moved also. I'm very proud of this organization. We were in the marketplace 11 days after that announcement. On February 24, we launched our Total Plans that include unlimited offerings and they have been very well received. We immediately saw a pickup in activity, with notably different sales results in March than in January and February. 
 By quarter end, about 11% of our postpaid lines were on these new plans as a result of both migrations and sales. Let me say that again, in just 5 weeks, 11% of new and existing postpaid lines moved to these new plans. The fact that we rolled these plans out with just 5 weeks left in the quarter also means that except for the change in gross adds, it had a pretty minor impact on the financials. And the information that we have on these plans and the behaviors is also pretty limited. 
 While I know that won't stop you from asking questions, I just want you to be careful in drawing implications off that limited information. Remember, 5 weeks of sales activity means we only have a full month of activity for those customers that signed up in that very first week. We are seeing both heavy users moving to these new plans, as you'd expect, as well as consumers looking for the safety and security unlimited plans offer, even those whose usage levels would suggest they are better served by other plans. How these 2 forces play out in the portfolio will determine the impact on average revenue per user. And it's just too early to tell right now. 
 But ARPU impact is not what concerns me about unlimited offerings. The same time, we saw a bump in usage, but again, too little information to draw any conclusion off of. We will watch this closely, but the little increase does not impact our current view of CapEx for 2017. The risks around unlimited plans is really the potential long-term impact of a mismatch between revenue growth and usage growth. Usage growth, which in turn drives capital investment. 
 Even though we weren't leading the charge on rolling out unlimited plans, we did manage to keep handset low -- handset churn low and improving. Our customers value both quality of the network experience we provide and our service orientation. Both of these strategic strengths again received third-party recognition in the quarter, including another J.D. Power Award.
 As I've mentioned on these calls over the last year, we continue to work every day on both delighting our customers and reducing costs, and those efforts continue to pay off. While a lighter sales volume resulted in the lower variable sales-related costs, other areas like systems operations and G&A both improved year-over-year and contributed to the 11% growth in adjusted EBITDA. 
 This strong growth in adjusted EBITDA is the key factor behind our change to guidance for the year. More on that later from Steve. 
 Now turning to Slide 6. As I mentioned how customer satisfaction is driven by our network strategy, so we will continue to invest in our network to deliver a network that meets the growing demands of our data customers. We're on track to roll out VoLTE in Iowa, and we're continuing to ready our network for our next VoLTE rollout. 
 Voice over LTE enables many new customer features as well as additional roaming opportunities and the prospect for more efficient use of our spectrum. Speaking of spectrum, now that the anti-collusion ban has been lifted, I want to share how pleased we are with the outcome of the 600 megahertz auction. We had the winning bids for 188 licenses covering the vast majority of our footprint at very reasonable prices, $0.59 per megahertz-pop. This will provide a long-term solution to growing customer demand for more data. Our bids totaled $329 million, and we have a final payment of about $186 million due in May. 
 In summary, I congratulate the entire team on these results in light of a very competitive landscape. Now, let me ask Steve to discuss the financials. Steve? 
Steven Campbell: Thank you, Ken. Good morning, everyone. I'll start today by commenting on connection activity, shown on Slide 7 of the presentation. 
 Overall, we had a net loss of 31,000 retail connections in the first quarter of 2017 and ended the quarter with just over 4.9 million retail connections, about 2% higher than a year ago. 
 In the prepaid segment, which as you know, is a small part of our customer base, we had a net loss of 4,000 connections. In the postpaid segment, we had a net loss of 27,000 connections, including 28,000 handsets, as we didn't attract the number of new customers that we would have liked. This was due to a combination of factors that made an already competitive market even more so. Factors such as lower customer switching activity, aggressive promotional activity and the reintroduction of unlimited plans. 
 In response to the intensified market competition and the need to protect our base of postpaid customers, we launched our new Total Plans, which include unlimited offerings, in late February. As Ken said in his comments, both new and existing customers responded favorably to the new plans, as we saw in an improvement in our activity following the launch. 
 For the first part of the quarter leading up to the launch of the Total Plans, we had lost 35,000 postpaid connections. However, in the remaining weeks of the quarter, we added 8,000 net postpaid connections, and we saw that change in momentum carry into April.
 As I mentioned, we lost 28,000 handset connections during the first quarter, including 9,000 smartphones. However, we continued to have customers upgrading from feature phones, and including those upgrades, total smartphone connections increased by 20,000. 
 Postpaid churn was at 1.29% this quarter, pretty flat compared to 1.28% a year ago. Handset churn was even lower, as you'll see on the next slide. 
 Handset churn for the first quarter of 2017 was 1.08%, the lowest level in many years. Connected device churn increased to 2.55% for the first quarter of 2017 due to higher tablet churn as the penny tablets sold in connection with various promotions over the past couple of years began to roll off. 
 Let's turn to Slide 9 and look at revenues. As a reminder, effective January 1, 2017, we made a change in how we're reporting imputed interest income on equipment installment plans. That income is now being reported as a component of service revenues rather than as interest income below the operating income line. This approach is consistent with that which has [ evolved ] and is now being followed by most industry participants. The numbers shown here and in all of our subsequent slides for all periods reflect the revised approach. 
 So let's start with service revenues, which for the first quarter of this year were $746 million, down $25 million or about 3% year-over-year. The largest component of service revenues and the main driver of the decrease, is retail service revenues, which at $657 million for the quarter, decreased by 4%, driven by lower average revenue per user. 
 Changes in the other components of service revenues were offsetting. However, I want to say a few words about roaming. Inbound roaming revenues for the first quarter were $27 million, reflecting a sizable drop year-over-year, primarily due to lower contract rates. For data, the total volume of inbound usage actually increased by 8% year-over-year, but the favorable impact of that volume increase was offset by the impact of lower rates. Over the past year, the mix of data traffic has shifted significantly from 3G to 4G, which has lower rates. 
 I also want to remind you again that while lower data rates are putting downward pressure on revenues, at the same time, they're providing a significant benefit in the form of reduced expenses for our outbound data roaming. In the first quarter of 2017, the mitigating impact of lower rates on outbound roaming expenses was approximately 3x the rate-related reduction in roaming revenues.
 Equipment sales revenues declined 4% to $190 million, reflecting a reduction in the number of device sold, along with a related impact on accessory sales. The impact of fewer unit sales was offset by an increase in the proportion of new device sales made under equipment installment plans, and to a lesser extent, a mix shift from connected devices to smartphones. 
 Percentage of postpaid device sales on installment plans was 80%, similar to the previous quarter and up from 69% in the year-ago quarter. We expect that the installment plan take rate will be higher over the course of this year, given that all of our device sales to retail customers are now being done on installment plans. At the end of the first quarter, approximately 46% of our postpaid connections had an installment plan.
 Moving over to Slide 10, which provides some additional information related to postpaid revenue. The average revenue per user, or ARPU, for the first quarter of 2017 was $45.42, down 6% year-over-year, reflecting the overall industry price competition, the continued migration to equipment installment plan pricing and the growth in connected devices, which have lower average revenue. At this point, and Ken touched on this earlier, there is very little impact related to the unlimited plans due to the timing of their launch being very late in the quarter.
 Given the continuing migration to equipment installment plan pricing, the average billings per user, which includes installment billings, provides a better representation of the total amount being collected from customers each month. As you see, this more inclusive measure is relatively flat year-over-year. 
 Average revenue per account benefits from the increase in connections per account, which grew by 3%. For the first quarter, average revenue per account was down about 3% year-over-year. However, the average billings per account actually increased by about 3% year-over-year. 
 So let's move next to our profitability measures. Operating cash flow for the first quarter 2017 was $194 million, up 15% from $168 million a year ago, notwithstanding a reduction in total operating revenues. Note that total cash expenses decreased by 7% overall year-over-year, with decreases in each major category. Some portion of the reductions can be attributed to lower sales volumes, while some portion represents efficiency achieved in various areas of the business, such as network operations, including outbound roaming, phone replacement programs, advertising and customer service operations.
 Adjusted EBITDA, shown next, incorporates the earnings from our equity method partnerships, along with interest and dividend income. Adjusted EBITDA for the quarter increased 11% to $229 million compared to $206 million a year ago. Earnings from the unconsolidated entities were $33 million this quarter, including $16 million from the LA Partnership. I'll also mention that in April, we received a $30 million distribution from the LA Partnership. With the improvement in profitability that we achieved on lower revenues in the first quarter, operating cash flow and adjusted EBITDA as a percentage of total operating revenues, both increased by approximately 330 basis points year-over-year.
 Cash flows from operating activities during the first quarter were $61 million, while net cash used in investing activities totaled $75 million. Significant investments were made in our award-winning network, primarily for the ongoing deployment of VoLTE technology, and in office systems capabilities. At March 31, cash and cash equivalents totaled $572 million. As Ken mentioned earlier, U.S. Cellular will be required to make a final payment of $186 million for licenses acquired in the 600 megahertz auction. We plan to make that payment later this month using cash currently on hand. 
 In addition to the existing cash balance, U.S. Cellular has $298 million of unused borrowing capacity under its revolving credit facility. We believe that these resources together are sufficient to meet our operating, investment and debt service requirements for the remainder of this year. 
 You'll note that we disclosed in the Form 10-Q report filed today that U.S. Cellular has created a special purpose entity designed to facilitate a potential financing by monetizing accounts receivable related to equipment installment plans. This provides an attractive and flexible financing vehicle that we could use in the future.
 Next, I want to cover our guidance for the full year 2017, which is shown on Slide 13 of the presentation. For comparison, we're showing our 2016 results, which have been recast to reflect the change in the classification of imputed interest income on equipment installment plans, effective January 1 of this year, along with our previous and revised estimates for the current year. 
 So first, for total operating revenues, our estimate of $3.8 billion to $4 billion is unchanged. For operating cash flow, our revised estimate is a range of $550 million to $650 million. The revised estimate raises the guidance by incorporating an increase of $50 million to the bottom end of the range to reflect the strong profitability that we're reporting for the first quarter. The change at the bottom of the -- bottom end of the range for operating cash flow also impacts the estimate for adjusted EBITDA, which is now $700 million to $800 million. Although we're making these changes to our guidance to reflect our first quarter results, we believe that the competitive environment and related factors remained very unsettled. For example, the overall pricing and promotion environments, the degree of customer migration to the new Total Plans and the related impacts on ARPU and network costs, customer phone upgrade activity, these among others. Obviously, how these factors play out over the rest of the year could impact our actual results and where they fall in the ranges. 
 For capital expenditures, our guidance is unchanged at approximately $500 million, including spending associated with the continued deployment of VoLTE technology. As Ken said earlier, the impact of the unlimited plans on network usage is something that we need to watch over the longer term. However, given the manner in which we build and operate our network to ensure a great experience for our customers, we believe that the current capacity plan will efficiently handle any uptick in usage this year, and that capital expenditures will be within the guidance that we're confirming today. 
 So now, I'll turn the call over to Vicki Villacrez to discuss TDS Telecom. Vicki? 
Vicki Villacrez: Okay. Thank you, Steve and good morning, everyone. I'll first speak to Slides 15 and 16. Our overall results for the first quarter were strong, as total revenues increased 6% and adjusted EBITDA increased 13%, both with contributions from all 3 segments. This reflects the work we have done to execute on our strategic priorities. Capital spending in the quarter was down, resulting in an improved free cash flow compared to prior year. However, we do expect our capital spending to increase throughout the year to support our A-CAM build-out. 
 Now let's turn to our segments, beginning with wireline on Slide 17. We continue to leverage our fiber and copper bonding deployments to drive penetration of higher broadband speeds and IPTV in certain ILEC markets. Approximately 19% of our 56,000 total network route miles are fiber built, as a direct result of our fiber deployment strategy over the last several years. A-CAM, along with the state broadband programs, will enable us to drive fiber even deeper into our network, and we will continue to evaluate future opportunities to bring fiber to more service addresses. 
 These network investments are driving positive results, as shown in the metrics on the bottom of the slide. IPTV connections grew 18%, adding 6,900 subscribers compared to the prior year. We are offering a variety of speeds up to 1-gig service in all IPTV markets. Residential customers continue to choose the higher speeds in our ILEC markets, as approximately 20% of our customers are now taking 50-megabit services or greater. This, along with price increases, contributed to a 4% increase in average revenue per connection in the quarter. In addition, churn continues to remain very low. 
 Now looking at the financial results on Slide 18. Residential revenues increased 4%. Growth in IPTV and price increases more than offset declines in broadband and legacy voice connections. Commercial revenues increased 6%, primarily driven by lower CLEC sales, which is an expected trend as we shift our focus to serving new customers who do not require leased facilities. This will also translate into lower costs going forward. 
 Wholesale revenues increased 15% due to support received under the A-CAM program, as expected. On a combined basis, total wireline service revenues increased 4% to $179 million. Wireline cash expenses were well controlled, as growth in IPTV content costs was offset by the reduced cost of provisioning legacy services. As a result, wireline adjusted EBITDA increased $6 million or 10%. 
 Now moving to the cable segment on Slide 19. Total cable connections grew 14% to 294,000. Beginning in 2017, certain bulk video and broadband connections historically counted as commercial were reclassified as residential connections. Adjusting for this change, residential connection growth was driven by a 13% increase in broadband connections and slight increases in both voice and video connections. So let me restate. Total cable connections grew 4%. 
 Commercial connections declined due to the video churns related to our analog reclamation initiative in 2016. However, we did see commercial broadband connections grow 12%. As a result, total broadband subscriber growth drove a 400 basis point increase in broadband penetration. 
 On Slide 20, total cable revenues increased 10% to $49 million. As reported, residential revenues increased 15% and commercial revenues decreased 8%. However, after adjusting for the bulk connection reclassification I mentioned, residential revenues increased 11% and commercial revenues actually increased 8%. And this was primarily due to increased broadband connections and price increases.
 Cash expenses increased 6%, due primarily to higher programming content costs. As a result, cable adjusted EBITDA increased $3 million to $13 million in the quarter. 
 Now turning to the HMS segment and speaking to both Slides 21 and 22. HMS revenues grew 11% in the quarter. As expected, this was driven by a 21% increase in equipment revenues on carryover from fourth quarter 2016. However, while we are pleased with the equipment revenue performance, we are disappointed in our service revenue results, driven primarily by a 3% decrease in hosting revenues in the quarter. We have recently adjusted our sales model to provide a more dedicated focus on reoccurring service sales. And we have seen some initial success as we look at our pipeline going forward. 
 Cash expenses were up 9% compared to the same period in the prior year, which mainly reflects higher cost of goods sold to support equipment revenue growth. Our cash expenses were down, reflecting lower service revenues and cost containment efforts. This resulted in an increase in adjusted EBITDA of $2 million. 
 We have provided our 2017 guidance on Slide 23, which is unchanged from the guidance we shared in February. As I mentioned earlier, our capital spending will increase throughout the year to support our A-CAM build-out, and we still expect to meet our $225 million guidance target. 
 In closing, I'd like to reiterate that we are very pleased with the overall results of our first quarter, and would like to thank all of our employees who contributed to the success. 
 Now, I'll turn the call back over to Jane. 
Jane W. McCahon: Thanks, Vicki. And now, we're ready for questions. 
Operator: [Operator Instructions] Our first question is coming from Simon Flannery of Morgan Stanley. 
Simon Flannery: On the 600 megahertz spectrum, can you give us some early thoughts on what you're planning to do with that? When is the spectrum in your footprint likely to be cleared? And do you have any build-out plans at this point? Or are you just going to wait and see what happens with 5G, et cetera? And then secondly, on the unlimited plans, how do you expect that to play into roaming, both Verizon customers having more traffic in your territory perhaps, but also, your customers having more roaming out of footprint. Any early thoughts on that? 
Kenneth Meyers: Simon, thanks for the question. Starting with the spectrum question, our current plans are to use the 600 primarily to meet future growth in data requirements. We aren't thinking about it as 5G spectrum at this point in time. In fact, when we think about our markets, 5G is something that is a good number of years off in terms of where we think it plays out right now. Yes, so therefore, while we've got eventually to deal with build-out requirements, now, it's not real clear to me exactly when we're going to get the spectrum, but we're going to use it to continue meeting data demand. So no impact on this year's build, and probably unlikely to have much of an impact even in next year is our current thinking. On the roaming side, interesting question. I can't begin to estimate the industry level impact in terms of how that may drive roaming on to us. We are -- we're actually rolling VoLTE out in Iowa now. Part of our whole VoLTE rollout schedule is based upon meeting the needs of other carriers and positioning ourselves to handle some of that traffic. But I don't think technology-wise, we'll see much VoLTE roaming before the end of the year. That's just what it takes to get 2 different operators' systems to interact. I'm encouraged and excited about it long term, but I don't think it does much this year. 
Simon Flannery: Okay. And just in terms of how you overall think -- it would be fair to think that the traffic might net off the traffic coming into your territory versus the traffic from your customers out of territory? 
Kenneth Meyers: Well, actually, I'm expecting that -- in fact, one of the justifications of VoLTE, right, was that we would be able to serve more carriers than we can serve now. Because historically, we only served CDMA-based carriers. But when we're in VoLTE, we'll be able to serve people that used other technologies for voice and have roaming agreements with both of them in place already. And so we've always thought about VoLTE being able to, in effect, double the addressable market we have for roaming revenue. And with unlimited, clearly, a bigger chance in terms of that volume growing. What we've seen historically, and I hate to say historically, because again, we are dealing with very, very limited information. But what we've seen is we've gone from one technology to another, technology, as an example, of 3G to 4G, where customers have a better data experience. We see them using more data. And the amount that they use on net or off net in terms of the percentage of their total usage hasn't changed dramatically. So when they used 600 minutes of voice, about 5% of those minutes of use were off of our network. When they use 2 gig of data, about 5 percentage points of that usage is off of our network. So they don't change their travel plans. They don't change their travel behavior. But they are just consuming more wherever they are at. We haven't seen anything that really changes that. So clearly, as you have people using more, if 2 gig goes to 4 gig, okay, and that relationship is maintained at 5%, you'll have more off-net roaming usage. But as Steve pointed out, we have positioned these 4G agreements at a much lower price point, making it, a, much more affordable, but two, also to make it attractive to other carriers to use our network as opposed to build out. Long answer, but complicated formula going on there. 
Operator: Our next question is coming from Ric Prentiss of Raymond James. 
Ric Prentiss: I know it's early, Ken, as you pointed out on the unlimited plan, but you knew the questions were coming. You mentioned 11% of base onto the Total Plans in just 5 weeks. Obviously, impressive, large start. Can you update us as far as where we're at then as far as April? And then, I think it was also mentioned that in the quarter, minus 35,000 postpaid up until the launch, but then positive 8,000 post the launch. How did gross adds trend as well? And what's kind of implied in your guidance then, a return to the higher gross add levels that you saw in the second half? Just trying to get a little color on those items. 
Kenneth Meyers: Okay. So let's start with, yes, it was gross adds that changed. Because, in fact, if you look at the quarter, you'll see handset churn, 1.08%. It's a very strong quarter there. Gross adds, store traffic, is what changed with that. And I think what that really shows is at aggressive pricing, you can get customers to move, the question is we're trying to maintain the economics of this business and that's not promote everything away. We are trying to manage this for the long term. In terms of what I expect, is I expect we're going to continue to see a competitive marketplace over the next 8 months of this year. I expect that we'll continue to be competitive as long as it's economic. And as a result, our plan for the year has always been to reduce costs and drive growth. We got some of the costs, not as much growth in the first quarter. We're still looking for the same growth we expect to going forward. 
Ric Prentiss: Okay. And as far as the percent of base in April, did it continue that kind of rapid pace? 
Kenneth Meyers: Let's just stay with the first quarter right now, but I think what's fair to say is there's an attractiveness to unlimited that consumers like, so that's it. 
Ric Prentiss: Yes, the other area, and I think you guys made the point, that unlimited probably didn't impact ARPU much. But ARPU was up sequentially on postpaid phone side, and yet you still have a long way to go on EIP. How should we think about trends on ARPU going forward then? 
Kenneth Meyers: Boy, that's the one that goes right to that question on the portfolio with unlimited. I mean, what you see have sequentially is the growth in the fourth quarter has got a heavy promotional spend to it. That promotional spend impacts revenue recognition. So you get a little bit less of that, I'll call negative impact, in the first quarter. I'm pretty happy with what we're seeing on the ARPU side so far. But again, we're just too early. I'm not going to draw conclusions off that. I need the quarter before I'll make more comments on ARPU. 
Ric Prentiss: All right. One final one from me. FirstNet. It's now been awarded, project moving forward, you guys have over 4,000 towers. Any thoughts on how valuable or attractive your assets might be to FirstNet and for AT&T to climb up and put stuff on them? 
Kenneth Meyers: We're looking forward to the opportunities that FirstNet will have, whether that be just the towers or even more. We've got a strong, strong network position in a lot of markets where AT&T has not built out yet, and I'm hoping to leverage those assets. 
Operator: Our next question is coming from Sergey Dluzhevskiy of Gabelli & Company. 
Sergey Dluzhevskiy: Couple questions. First one in relation to the broadcast incentive auction. Ken, if you could share your thoughts about the final result of the auction. And obviously, your performance in the auction, but also, the final outcome for the industry. And in many of your larger markets, I think you bought 2 blocks of spectrum, but in some markets like Oklahoma City or Tulsa, you didn't acquire any and T-Mobile bought 30 or 40 megahertz of spectrum in your top 10 markets. I think DISH also bought 10 to 20 megahertz. So do you see this as a concern over medium term, particularly, from T-Mobile over build? 
Kenneth Meyers: Thanks for the question, Sergey. So first of all, I'm pleased with what we were able to acquire, and the prices we were able to acquire them at. And in every auction we go to, we have certain target prices that we're willing to spend by market and certain ones we aren't. And as we cross those thresholds, we stop spending. So where we bought, I'm very comfortable with. Yes, I understand that there's going to be a time in the future when the competitive picture in some of our markets changes. But everything that we have seen with our customers for years is they make their decisions based upon quality of network coverage and price. And we have built our network out over many, many years to get it to the quality level that it is. And we will be prepared by the time we get new entrants in our markets. At the same time, those new entrants also give us the opportunity to expand our roaming business. And we have positioned ourselves with roaming agreements with us to capture that opportunity, too. So I think it's a ways off yet, but we aren't going to be just sitting back just waiting for it. 
Sergey Dluzhevskiy: Right. Another spectrum-related question, you still own some non-core or non-operating spectrum. I think you still have some 700 megahertz A block licenses in St. Louis, in North Carolina. Is the goal to monetize it over the medium term? Or to trade with larger carriers? Is there a timetable now that the auction is over? 
Kenneth Meyers: Going into the auction, Sergey, I think the non-strategic holdings had -- were pretty much minimized. I'm going to have to follow up with you on that St. Louis one. I don't -- I think we had monetized all of that in the past. There isn't really -- there wasn't a lot there going in. Now, there's a few places where, as we get VoLTE, we'll be able to edge off of our current footprint that we purposefully held, but I don't think there's a lot there. 
Sergey Dluzhevskiy: Okay. And last question on 5G. You touched on it in your answer to previous questions, but could you share your thoughts as far as where you stand right now in terms of trials and technology road map? Are you contemplating fixed wireless solutions? And I guess, what is your path to 5G spectrum? What are your expectations for additional availability of millimeter-wave spectrum from the FCC in future auctions? 
Kenneth Meyers: Wow. I've got Mike Irizarry in the room, who's our CTO. I'm going to start this, and he'll be able to correct me and clean it up when I'm done. First of all, we are running fixed wireless tests right now using 4G. And don't believe in the rural areas that we serve we need to wait for 5G to meet some of those customer needs. What we're trying to figure out is distribution, how that's going to work, installations and things like that. But we think that we've got enough spectrum to deliver on that need now. What happens with future millimeter-wave auctions from the FCC is something that is still in the future. We'll be watching it, but Mike, talk a little bit about how we see -- the 600, what we're doing, and all the tests you've already been running. 
Michael Irizarry: Yes, thanks, Ken. Good morning, Sergey. So just as a reminder, last year, we did 2 5G trials, one in the 28-gigahertz band and one in the 15-gigahertz band. And it was really focused on fixed type connections. And we're very pleased with the results. We really focused on trying to understand in-building penetration, range as well as some of the advanced beamforming technologies. We'll more than likely run 2 additional trials this year, because the vendors have made enhancements to those early prototypes, so we'll be looking at that. I think it's too early to really say what spectrum bands will be focused on what use cases until the standards are done. And the first set of important standards is not expected to be completed until the end of this year. So I think we'll have greater clarity by the end of this year, what components of 5G will go into low band versus a millimeter wave and then actually, how much we'll be able as an industry to leverage 4G, because I think it's important to realize there's a lot of new enhanced features that are almost 5G like, that we might be able to use within the 4G technology. So more to come. 
Operator: [Operator Instructions] Our next question is coming from Phil Cusick of JPMorgan. 
Philip Cusick: Ken, you talked a little bit about gross adds improving with unlimited, but gross add mix continues to come down over the last few years. And I wonder what you plan to do. Are there things that you think you could sort of go out and really put some emphasis on, differentiate a little bit? Or is it really just increased focus on getting churn down and maintaining the base that you have? 
Kenneth Meyers: Well, first of all, protecting the base has been a core strategy for many, many, many years. You spend a lot of money building that base. They you understand your network, your company, you never want to lose them. So that's always been part of what we really focused on. Having said that, we continue to see new wins and good growth coming out of our B2B channel, which we really think of as kind of the tip of the spear in terms of trying to penetrate -- to try to deepen our penetration in certain of our markets. I'm really waiting to see how this fixed wireless test works out so -- and we keep going in and out of prepaid based upon kind of market cycles and opportunities that are there, especially with some of the distribution changes that we've seen recently. So yes, I'm looking for more than just protecting the base. And that's why the pickup in gross adds is so important. 
Philip Cusick: Okay. And you mentioned prepaid, but those tablet promotions that you ran a couple of years ago, you mentioned they're coming off and that's a theme we're hearing from a lot of carriers. Can you remind us what quarter were those offered? And how long do you expect this tablet roll-off to continue? 
Kenneth Meyers: Well, the team -- I don't have exactly when we rolled out the first one. I think that what we've all seen is that the consumer just doesn't use the tablet that much on network, okay? They're using it in Wi-Fi, they're using it a lot there. And so it's as much about how much value they get out of home usage, so to speak. Now, what is interesting is how the unlimited plans could change that behavior, so it's something yet to watch. But I think we probably started down this path at the end of '14. Some people are writing me notes, end of '14 is when we started down this path. And a good number of customers are keeping them beyond the 2 years, but you're just seeing the -- a bleed-off, right? So most of our focus is on higher-end tablets, typically business accounts where they're using it to change how they do business. Well, you're going to see this bleed-off in these lower revenue tablets for a couple of quarters yet. 
Philip Cusick: A couple more quarters. That sounds familiar. And then the systems and G&A costs coming down, that's great to see. Can those continue to come down on a dollar basis going forward? Is there a real cost-cutting effort there? Or is there a little bit of a blip here? 
Kenneth Meyers: No, there's a real cost-cutting effort across the whole organization. And we have got more cost-savings targets built into our internal goals and targets for the year. 
Philip Cusick: Okay. One for Vicki. What is your M&A pipeline look like in cable or anything else? It's been a couple of years since you bought anything and looks like things are starting to go the right way here. Is there still an effort to buy assets? And what is the overall sort of choice look like? 
Vicki Villacrez: Sure. First off, let me say, we're very pleased with the quarter, especially in cable, both the pickup in the revenue growth and the improvement in the EBITDA. Customers are really responding, I think, to the overall improved video experience as well as our superior broadband product. And so with that said, you bet, we are still actively looking at cable opportunities. We've seen some deals of various sizes at this point, but nothing that has really met our criteria at this point. 
Philip Cusick: Okay. And last one. I guess, for Ken, since Ted is not on, I feel like we have to ask the question. There was an article a few weeks ago about Ted considering selling U.S. Cellular and then backing off from that. Have there been discussions at the board level? Or has there been any change among the thinking at the board or family level about monetizing the U.S. Cellular asset in some way or form? 
Unknown Executive: So Phil, Ted's not here, but Doug's here. I'm not familiar with the article that you're referencing. I don't know where that would have come from as far as discussions at the board. I think there is -- the controlling shareholders have a filing out there and if anything changed, you'd see it there. 
Operator: Our next question is coming from Michael Rollins of Citi. 
Michael Rollins: I was wondering if you can talk a little bit more on the cost side of the business in a few respects. Number one, are there any step function opportunities to take costs out in the business as you look out over the next couple of years? Number two, your costs per cell site started to decline recently. I'm wondering if that's just temporary or there's something more significant that you're doing to drive savings. And then the final point of this or question would be if you look at your subscriber base, you mentioned that a proportion have taken an interest in unlimited, you have newer rate plans that are simpler for customers. Is there a way to discern how far along your base is on simplified rate plans, where we can get a sense how close you are to improving the efficiency of customer care, just as a benchmark to think about? 
Kenneth Meyers: Okay, Mike. I'm going to start backwards with you. Customer care, customer service, is something that has greatly increased its efficiency and effectiveness over the last 2 years, in fact. If I look back, I know that last year's customer service costs, '16, were below '15. And we continue, first quarter this year, with the same story. We have really done a really good job of both reducing the length of calls as well as the number of calls by putting in different technologies to make our team more efficient. In fact, it's probably one of the big wins in last year's cost work was around customer service. And having said that it was a big win, it's not an area that's stopped, but it's one that has already really produced some sizable improvements. And systems ops, you got a couple of things going on there. One, that's where you're going to see the net impact of the roaming cost we talked about coming down, so you've got that in there. As we continue to move more and more of our traffic onto 4G, there's backhaul costs and things like that, that we're seeing there for 3G that we keep redeploying. And that whole organization continues to look at how they deliver the services they deliver, looking for new tools that help them become more effective. I think we'll see more of that on one hand as we move to VoLTE. On the other side, though, with VoLTE, you could have a cell site lease amendments on that 1/3 of the cell sites that we don't own. But on the 2/3 of the cell sites that we do own, there won't be any cost increase there. That's why we don't -- we own them. So as we look at it, I'm not aware of any big step function. It is more just continuing to question everything we do, how we do it and look for different ways to do it. 
Operator: Thank you. At this time, I would like to turn the floor back over to management for any additional or closing comments. 
Jane W. McCahon: We'd like to thank you all for joining us this morning. And please let us know any additional questions. Have a good day. 
Operator: Ladies and gentlemen, thank you for your participation. This does conclude today's teleconference. You may disconnect your lines at this time, and have a wonderful day.